Operator: Welcome to the Cabot Corporation, third quarter 2008 earnings conference call. My name is Eric and I’ll be your coordinator for today. Now at this time, all participants are in listen-only mode. (Operator instructions) We will have a question-and-answer session at the end of the conference. I would now like to turn the presentation over to the host for today’s call Ms. Susannah Robinson, Director of Investor Relations at Cabot Corporation. Please proceed.
Susannah Robinson : Thank you, Eric. Good afternoon, this Susannah Robinson, Director of Investor Relations. I would like to welcome you to the Cabot Corporation third quarter earnings teleconference. Here this afternoon are Patrick Prevost, Cabot's, President and CEO; Jonathan Mason, Chief Financial Officer; Bill Brady, General Manager of Core Segment, Sean Keohane General Manager of the Performance Segment, Fred von Gottberg, General Manager of the New Business Segment, Roby Paintal, General Manager of the Special De-fluid Segment, Eddie Cordeiro, Head of our Corporate Strategy Group; Jim Kelly, Corporate Controller; and Brian Berube, General Counsel. Last night, we released results for the third fiscal quarter of 2008, copies of which are posted in the Investor Relations Section of our website. For those on our mailing list, you'll receive the press release either by e-mail or fax. If you are not on our mailing list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available for two weeks following the earnings teleconference in conjunction with the replay of the call. I will remind you that our conversation today will include forward-looking statements. Forward-looking statements are subject to risks and uncertainties and Cabot's actual results might differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot's actual results can be found in the press release we issued last night as well as in our 2007 Form 10-K and subsequent filings with the Securities and Exchange Commission, copies of which are available on our website. I will now turn the call over to Patrick Prevost, Cabot's President and CEO, who will discuss the key highlights and business details pertaining to the company's performance for the quarter and our outlook for the future. We will then turn the call over to Jonathan Mason, Cabot's Chief Financial Officer, who will provide the corporate financial details. We will then open the floor for a question-and-answer period. Patrick.
Patrick Prevost : Thank you, Susannah. Good afternoon. It is a pleasure to be with you today. Before I begin my remarks and results for the third quarter, I would like to take a few a moments to review some key aspects of the company that we discussed in detail at our Analyst Day in May. First, Cabot’s vision, our aim is to deliver earnings growth through leadership in performance materials. This is a company with strong franchises in a variety of businesses and with a broad global footprint including significant growth positions in emerging markets. Also, very important is our reputation as a technology leader in our chosen businesses. In this respect, we are focused on maximizing the functionality of our products at the customer level. These functionalities are critical to creating value and use and improving performance in our customer’s applications. We have four key levers to achieve this vision. One, we will stay close to our core and focus on margin enhancement opportunities. Two, we’ll continue to take a leadership position and expand geographically. Three, we will manage our new product and business development opportunities in a disciplined way. And finally, we will actively manage our portfolio over time to develop a group of high-performing businesses. Given these four levers, we are well positioned to deliver on our vision and as a result have set to two mid-to-long term financial targets for the company. Our first target will move us from the adjusted earnings per share band of $1.50 to $2 that we have operated in over recent years to at least the $3 per share level within three years. This target is a solid starting point to move the company to the next level of performance In my mind, this is by no means the end gain considering Cabot’s capabilities and assets. I’m certain that we have the potential to do more. Secondly, we have committed to delivering a consistent adjusted return on invested capital of 13% by 2013. We believe that these levels of returns are attractive and achievable given our leadership positions and the richness of investment opportunities available to us. As those of you who followed the company’s recent analyst days are aware, we have changed the way we manage and speak about the company. We have grouped our businesses along common business models rather than by product lines. We believe that this realignment better focuses the company and its management on the key issues to be managed for each group of businesses. Additionally, it allows us a more complete view on how best to measure progress and success in each of our business segments. As I speak about the company this quarter, I will address my segment specific remarks to our new reporting structure. Our intent will be to give you sufficient insight into the product lines you’re familiar with, to understand the strides we are making to meet our commitments to the long-term vision and financial targets of the company. Moving on to the third quarter financial results and the key highlights. First and foremost, I’m pleased with the company’s performance. Improving our financial performance is high in my list of priorities especially given the volatile economic and feedstock environment we face today. Our focus on margin management in the core and performance segments contributed significantly to these results. Our geographic breadth and strong positions in emerging markets have allowed us to maintain solid volumes despite some slowing in the U.S. and Western Europe. During the quarter, we continued our commitment to emerging market growth. The performance segment announced a new masterbatch facility in Dubai to serve the growing Middle East and plastics market. We also signed a joint venture agreement for the construction of a second fumed silica facility in China. I was also pleased with our recent achievements to develop new business opportunities. We signed a letter of intent to commercialize our Cabot Elastomer Composite Technology. We had our first shipments of Cesium Formate to Kazakhstan. We were able to ship Aerogel into new applications in the construction market. Our aim in this area is to work very closely with lead users and key development partners to ensure maximum alignment and timely value creation. During the course, we also took actions to actively manage our new business pipeline. We initiated the closure of an underperforming project in Superior MicroPowders as well as a reduction in our inkjet workforce. As a result, we expect to see an annual cash improvement of approximately $5 million in the new business segment. We will continue to make decisions based on assessments of each opportunity's potential to achieve financial success in an appropriate time frame. In the core segment, the rubber blacks performed strongly during the third quarter with profitability increasing significantly. Solid unit margins and consistent overall volumes drove this performance. The contract lag was a modest $4 million during the quarter as our quarterly contract price increases match feedstock cost increases for most of the quarter. Although volumes declined by 1%, this was our second highest rubber blacks volume quarter ever, just behind the third quarter of 2007. In line with the recent announcement from tire manufacturings, we have begun to see softening demand in the U.S. and the Western Europe this quarter. Our strong position in emerging market however tampered these slowdowns. Our volumes in China, for example, increased by 9% compared to a year ago and by 17% sequentially. The rest of Asia-Pacific increased by 7% compared to last year's third quarter and 4% sequentially. Asia-Pacific overall now accounts are roughly 40% of our total rubber blacks business. As one would anticipate with rising oil prices, both contract lag and LIFO unfavorably impacted the third quarter. The total impact was $10 million compared to a $13 million unfavorable impact in the third quarter of last year. Despite our recent ability to overcome rising feedstock costs, our outlook for the coming quarter is cautious. I will remind you that the pricing that will govern our contracts for the fourth quarter is based on March, April, May feedstock levels whereas the related feedstock costs will be based on May, June, July levels, which are significantly higher. As we mentioned at our Analyst Day in May, we are taking steps to reduce or eliminate this time lag over the next 18 to 24 months as contracts terms permit. We have already instituted monthly pricing adjustments were feasible. In Supermetals, we previously indicated that we would experience several difficult quarters in 2008 due to higher oil costs and competitive market conditions. This third quarter was in line with our indications. The business saw lower volumes driven principally by softening demand in the Japanese market and the continued effect of a very competitive market environment along with high average oil costs. The business is primarily focused on cash. During the third quarter, we were successful in reducing working capital by $18 million. As you see in the graph, our progress in that respect has been good over the past several quarters. A continued weakness in the Japanese market demand and the impact of high average oil costs will continue to unfavorably impact the business in the near term. We have however increased prices this quarter and will continue similar actions with the objective of returning to profitability in 2009. Turning now to our performance segment, the profitability of this segment was flat in the first quarter of 2008 when compared to the same quarter last year. However, the underlying performance was strong when taking into consideration an $8 million LIFO effect associated with increased carbon black feedstock costs. This is compared to an unfavorable impact of $3 million last year. Overall, PPBG sales volumes continued to increase led by growth in emerging regions which had offset flat West European and declining North American volumes. We were successfully expanding margins during the quarter despite rapidly escalating feedstock costs. Fumed Metal Oxides performance was below our expectations during the quarter principally driven by higher raw material and energy costs and an unanticipated manufacturing disruption. Demand in this business remains solid. The impact of emerging market growth and new product introductions have been very positive for the performance segment. We’re continuing to develop attractive investment opportunities such as those announced in Dubai and China. Performance in the Specialty Fluids segment was solid during the third quarter. Profitability was down versus 2007 but remained in line with the second quarter’s results. We continue to focus on broadening our opportunities worldwide and I’m pleased to announce an update to you on the Kazakhstan opportunity which we have mentioned in previous calls. During the third quarter, we commenced shipments of fluids to the region and in July, so earlier this month, our first job was a complete success. The project came in ahead of schedule and under budget. Therefore we remain very positive on the overall performance and growth of the business. Our new business segment remains focused on driving revenue increases in high-growth areas and we took several key steps in that direction during the quarter. In inkjet costs, we saw continued recovery in our aftermarket volumes although overall volumes declined in the business. We remain confident in the future performance of this business as we continue to work with and make progress with OEMs in the office market. In aerogel, revenues improved with sales growth in the construction of specialty chemicals industries. Additionally, we made significant progress during the quarter in the oil and gas segment and anticipate recognizing revenue for these applications over the coming quarters. In Superior MicroPowders, we saw excellent revenue growth in the security segments and remained focused on partnering with lead users to accelerate commercialization of our products. We are managing our new business portfolio with renewed discipline and during the quarter, took steps to reduce costs and close underperforming projects. I will now turn the call over to Jonathan Mason who will review some of the financial details for the quarter. Jonathan?
Jonathan Mason: Thanks, Patrick and good afternoon, everyone. I want to touch on a few corporate issues with the first most important being cash flow. During the quarter, our operations generated approximately $40 million in cash despite a $33 million increase in working capital on a constant dollar basis. The increase in working capital was a result of increased carbon black feedstock costs. With the ongoing escalation of these costs, we continue to implement appropriate cash management strategies. To name a few examples, in addition to the inventory reduction noted by Patrick in Supermetals, we are working on further improvements within our core and performance segments on our supply chain which will also include inventory reductions. We are also focused on our receivables with more aggressive collection of overdues and on economically extending the terms of our trade payables. Besides working capital management, we are focused on price and margins in all businesses in both the core and performance segments and we continue to take steps to reduce costs where appropriate. Moving to our tax and tax rate. During the third quarter of 2008, the company’s overall tax rate for net income from continuing operations was 21%. We recorded the discreet tax benefits of $2 million or $0.03 per diluted common share representing positive audit settlements outside the U.S. and a more favorable geographic earnings mix. Excluding the impact of these benefits, the company’s tax rate would have been approximately 26% for the third quarter and we also anticipate a full-year tax rate of approximately 26% excluding discrete tax items. Moving to capital, we invested approximately $54 million during the quarter in capital expenditures. These expenditures included continued spending on our rubber black expense in China which is slated to come on line in December and on four energy centers, all of which are scheduled to come on line within the next 12 months. The company anticipates spending $200 million in total CapEx for the full fiscal year 2008. And finally, during the quarter, we’ve repurchased 84,000 shares on the open market at a cost of approximately $2.5 million representing an average price of $29.45 per share. Back to Patrick.
Patrick Prevost : Thank you, Jonathan. To summarize, we’re committed to our strategy and financial targets and we’re focused on disciplined execution and clear accountability. What does that mean? First, we are taking concrete steps to work more closely with our customers, lead users and development partners and are terminating underperforming projects and removing costs where appropriate. Second, we remain committed to innovation and technology and will maintain our position as leader in our chosen markets. Third, we continue to aggressively manage the impact of rising carbon black feedstock costs through price increases. However, given the oil price run up in June and July, we will need to monitor volume development in feedstock volatility very closely during the coming months. Fourth, we are aggressively managing our leading emerging market positions and I continue to believe that our broad geographic footprint will help us weather possible stagnation in the U.S. or Western Europe. Finally, we remain committed to high return investment in energy recovering projects and attractive growth opportunities in emerging regions. I remain confident that these opportunities will provide the foundation for our earnings growth commitment. With that, thank you very much for joining us today and I will now turn the call back over for our question-and-answer session.
Susannah Robinson: Eric, we would like to turn the call back over to you if we could.
Operator: Thank you. (Operator instructions) Your first question comes from the line of David Begleiter with Deutsche Bank. Please proceed.
David Begleiter: Thank you. Good afternoon. Patrick, just on rubber blacks, looking at a normalized profitability of $47 million in Q3 ‘08, nearly double what it was in Q3 ‘07. Please go through what’s driven that doubling of normalized profitability ex the contract lag and LIFO impact.
– Deutsche Bank: Thank you. Good afternoon. Patrick, just on rubber blacks, looking at a normalized profitability of $47 million in Q3 ‘08, nearly double what it was in Q3 ‘07. Please go through what’s driven that doubling of normalized profitability ex the contract lag and LIFO impact.
Patrick Prevost: I would say that a large portion of the performance in the third quarter has been driven by a combination of volume and margin improvement and also as we said, the lag that has only been at the level of $4 million this quarter. So, overall, we are continuing to push prices in line with and in excess of when we can raw material cost and we have maintained a strong volume picture in the rubber blacks business. As I mentioned earlier, our third quarter 2008 was just a tad below the volume of third quarter 2007 which was a highest ever volume quarter. A lot of this is due to our foresights in following our customers into the high growth regions and to a great degree into China and Asia and we’re reaping the benefits of these early investments.
David Begleiter – Deutsche Bank: And lastly, given the rise in crude, can you even hazard a guess as to the contract lag and LIFO impact in Q4? This will be above $10 million obviously.
Patrick Prevost : We’re not going to change our position with regard to providing guidance but I did mention a few minutes ago that we did see a significant lag developing in the fourth quarter but, as you certainly understand, the lag is not the whole part of rubber black; the total profitability of the business will be affected by multiple factors such as volume, yield, products mix, as well as by LIFO which could have a certain swing. So, I would at this stage not want to make any prediction but certainly we’re significantly watching a large potential for lag in the fourth quarter. I believe that looking at historical lag figures, you can actually develop a range of figures.
David Begleiter – Deutsche Bank: Right. Thank you.
Operator: Your next question comes from the line of Laurence Alexander with Jefferies.
Laurence Alexander – Jefferies: Good afternoon.
Patrick Prevost : Good afternoon.
Laurence Alexander – Jefferies : I guess the first question on the performance blacks, can you discuss the pricing trends in that market and particularly whether you think pricing is going to be getting stronger over the next two to three years?
Patrick Prevost: This is the performance products business?
Laurence Alexander – Jefferies: Right, the particularly the carbon black part (inaudible).
Patrick Prevost: Sean Keohane, I’m going to ask Sean to take that question.
Sean Keohane: Sure. Hi, Laurence. As we mentioned during the Analyst Day, we’ve been aggressively managing pricing in this business to deal with the feedstock run-up but our primary philosophy here is one of value pricing based on performance from our new product development. That has been going very well. We’re pleased with the progress here. We did not only recover feedstock run-up but expanded margins this past quarter and we’re pleased with the effort and the trends there and feel good about it.
Laurence Alexander – Jefferies : And so if you look at what your have in R&D pipeline that you will be commercializing over the next two years, you think that would be a -- sustain that trend of margin expansion sequentially?
Sean Keohane: I would say that we feel good about the level that is on right now, the trend that we’re on right now, I would say that.
Laurence Alexander – Jefferies : Okay. And then –
Patrick Prevost : If I may add something to that, we’re going to be increasing our interactions with the customers, trying to drive towards more of a market pull approach to development. So, I would see that that will have an effect in the future and should make this a more robust pipeline going forward.
Laurence Alexander – Jefferies :
Patrick Prevost : We have a very rich pipeline of CapEx projects and some of these projects are energy related projects that have developed over the last few years and which have extremely rich return potential. But we also, as I mentioned because of that focus on the emerging markets, we have expansion project that are and opportunities that are coming our way that we feel very good about. Of course, we need to remain prudent in the current environment, but I would say that the pattern that we have developed over the last two years of actually investing at slightly higher rate than our depreciation level, I could see that pattern actually continuing into the future but I do want to make a point about the prudence required in the current environment and also the prudence required with regard to managing cash. Operating cash is first and foremost in our mind and the high potential projects come second. However, we need to look at the future, therefore these projects will be pursued diligently.
Laurence Alexander – Jefferies: And then lastly, during the respond to David’s question you highlighted several factors within the carbon black business that could offset potentially the raw material lag impact. Are there any other swing factors in Q4 that you think could be a play that could help keep the earning stable as opposed to being sort under pressure, the way that they were in the first half of the year?
Patrick Prevost: I think the factors I mentioned were illustrative of the fact that the lag is not the only factor that determines performance and profitability of the rubber blacks business, so I wasn’t focusing on any one particular element of and driver here. I think with the volatility that we’re seeing in the raw materials environment and we have seen a decrease in our prices to the tune of $10 to $15 just in the last few days, it would be difficult to predict how the quarter would come out. But I would nonetheless say that the lag will be significant.
Laurence Alexander – Jefferies : Thank you.
Patrick Prevost: Thank you.
Operator: Your next question comes from the line of Jeff Zekauskas with JP Morgan. Please proceed.
Jeff Zekauskas – JP Morgan: Hi, good afternoon.
Patrick Prevost: Good afternoon Jeff.
Jeff Zekauskas – JP Morgan: I was looking at your new business segment profits that loss of $11 million. Is that a cash loss or is that allocations that somehow go to that segment?
Patrick Prevost : Jeff, just a second.
Jeff Zekauskas – JP Morgan: Please take your time.
Patrick Prevost: We’re trying to understand the -- or looking to follow up on the question. We have $9 million. Jonathan, may I ask you to take the question?
Jonathan Mason : On our quarterly segment profit –
Jeff Zekauskas – JP Morgan: Your right, it's nine. I misspoke.
Patrick Prevost : Okay. Right.
Jeff Zekauskas – JP Morgan: This is at a $9 million cash loss?
Jonathan Mason : Well, I mean, no. I mean that’s $9 million accounting loss.
Jeff Zekauskas – JP Morgan: Right, what is cash loss?
Jonathan Mason : I don’t know that we provide cash flow for segment, all segments.
Jeff Zekauskas – JP Morgan: What I am trying to understand is, are you losing like $40 million in cash in these developmental businesses a year?
Patrick Prevost :
Jeff Zekauskas – JP Morgan: Right.
Patrick Prevost : For example, in aerogels, up really even in the third quarter, we’ve expensed all the inventory we’ve made. It's just an example. And so, that would have shown up in inventory write-offs, already showed up in past result because we're conservative and are looking at new technologies.
Jeff Zekauskas – JP Morgan: What I mean is that if you didn't, if you eliminated all your new businesses, how would that affect your income statement?
Patrick Prevost : Well, we certainly have no intention of doing that because we're technology driven company and we believe that those, that spending is actually going to be providing adequate and certainly attractive returns in the future. So, I think that's a question that we haven't posed ourselves because we don't want to go down that path.
Jeff Zekauskas – JP Morgan: All right. Well, of the $9 million that you lost, how you would allocate it, is it all coming from inkjet colorants mostly, since that's the largest piece by far, or how do you allocate the loss among the three businesses?
Fred von Gottberg: Jeff, it's Fred von Gottberg. So, Jeff, let me try and answer that, I'm not going to be very specific because we don't elucidate or clarify profitability by the different businesses within the new business segment. However, you've got a pretty good indication of Aerogel and how much money they've been losing over the period of time and so you can use that to make an estimate and you'll find that most of the loss associated with that particular number is associated with Aerogel.
Jeff Zekauskas – JP Morgan: Okay.
Fred von Gottberg: Okay. And then obviously Superior MicroPowders is in the very early stages of development in the initial revenues and so they've also got significant contribution to that number.
Jeff Zekauskas – JP Morgan: Okay, that's very helpful. I mean if I can ask a question about the Supermetals operation and I apologize for that naiveté of my question, so I cover a number of chemical companies with electronics operations and none of them have negative volumes. So, what is it about the capacitor market that's unusual such that you have negative volumes in Supermetals or is it the case for various reasons, your share position is smaller?
Patrick Prevost : Bill, if you would like to take the question?
Bill Brady : Yes. I'm not sure if I can answer it exactly, but we had in our volume numbers, we had -- if you look over last year and sequentially in our numbers, we still had some hangover in the past from our contracts, number one. And number two, we also – if you look at our sequential numbers, we had an unusual situation with one of our large customers in the timing of their shipments. So, those two things tend to exaggerate the numbers you see on volumes. In addition to that, we're concentrated in Japan on part of the business as you know and the slowdown in Japan also hurt us.
Jeff Zekauskas – JP Morgan: Okay, so it sounds more like an issue specific to Cabot, but that the general capacitor market is growing
Bill Brady : There were certainly factors that were specific to us in this quarter.
Jeff Zekauskas – JP Morgan: Okay, thank you, Brady. And I guess the last question is that your shares, you repurchased I think 80,000 shares in the quarter. Are you going to step up your share repurchase or are you happy with the current level that you are buying at? What's your attitude toward it?
Bill Brady : Jeff, we bought back 84,000 shares in the last quarter. And as I mentioned during one of the earlier questions, we're managing our cash right now and very important in the volatile environment we're in.
Jeff Zekauskas – JP Morgan: Yes.
Bill Brady : And the first and foremost we're going to look at our cash flow for operations. And then we have as I mentioned also very attractive investment opportunities and they will – these high return projects will take precedence because we believe that's the best way to create value for our shareholders. And then thirdly, we're going to be looking at any other way to generate value for the shareholders and share repurchase may be one of those. But at this stage, we're not going to give you any indications of how were approaching that for the coming quarters. But this, I believe it gives you a sense of priority [ph] in terms of how we are looking at cash.
Jeff Zekauskas – JP Morgan: Okay, thank you very much.
Operator: (Operator instructions) Your next question comes to the line of Saul Ludwig from KeyBanc. Please proceed.
Saul Ludwig – KeyBanc Capital Markets: Good afternoon.
Patrick Prevost : Good afternoon, Saul.
Saul Ludwig – KeyBanc Capital Markets: Approximately, what percentage of your revenues of rubber black and performance products are now in North America.?
Patrick Prevost : Rubber blacks and performance products, Bill, could you take that question?
Bill Brady : Yes, Saul, I'll give you rubber blacks volume is a little under 20% now, just a touch under 20%. I don't have the revenues in front of me, but it's a fair proxy I think for revenues, maybe revenues might be a touch higher.
Saul Ludwig – KeyBanc Capital Markets: Saul, let's call it's 20%.
Bill Brady : Yes, in the area. I don't have the PPBG off the top of my head. I don't know, Sean might.
Sean Keohane: Yes, it's about 20% in North American revenue
Saul Ludwig – KeyBanc Capital Markets: About 20%?
Sean Keohane: About 20%, and that's what's going to give us the --
Saul Ludwig – KeyBanc Capital Markets: (inaudible) as to why the LIFO charge in the performance products sector is so much higher both in the second and the third quarters than in the rubber blacks, in that the rubber blacks is a much bigger business, maybe three times the size of the business of the performance blacks here in North America which is where the LIFO effect impacts you.
Bill Brady: Saul, that was a – that's a very good catch and the question I asked of course the last few weeks here, and this is due to the fact that in the performance products segment, we have production in North America, in the US specifically, which is where the LIFO occurs, which production is not only destined to the US market, but has a global reach. So, we have less units of performance products overall in the world and we have a couple of those units in the US, which supply the whole world. Therefore, the impact of the US LIFO on the total PPBG business is much larger than it is in the rubber black business.
Saul Ludwig – KeyBanc Capital Markets: That was not the case in the four quarters preceding the last two, in the four quarters that preceded the last two, the LIFO effect was bigger in the rubber blacks area. So, there was sort of a change in the direction that's just occurred in the last two quarters. So, that's what's perplexing to me.
Bill Brady : Well, I think the other factor that's in the background here is that the volume in rubber blacks in the US decline was the volume performance product production and sales increase. So, you have an increased delta there developing.
Saul Ludwig – KeyBanc Capital Markets: So, we would assume from this conversation that in future periods where there is LIFO impact, it will be greater in the performance sector both directions plus or minus than in the rubber black sector.
Bill Brady : I think you could assume that, that's correct, and I think also a point to be made here is that we have the closure of our Ohio River plant occurring in this quarter. So, you got there which is part of why there has been less raw black LIFO than the PPBG LIFO.
Saul Ludwig – KeyBanc Capital Markets: Okay, good. You mentioned that the free metal oxides business was worse than expected. What order of magnitude did their earnings decline, was it $1 million, $2 million or $4 million, $5 million, and what happens from this point forward?
Bill Brady : We're not providing that level of granularity. We're saying at the segment levels also, won't be able to give you that level of detail.
Saul Ludwig – KeyBanc Capital Markets: What about just the percentage change?
Bill Brady: I don't have that number.
Saul Ludwig – KeyBanc Capital Markets: Do you think it's 20%, 30% down, 5% down?
Bill Brady: I won't follow you that way, Saul. Sorry, I can't give you that number.
Saul Ludwig – KeyBanc Capital Markets: Okay. Next question on the steps you've taken to lower costs in both inkjet and in the Superior MicroPowders. Did the third quarter reflect those benefits, and if not, what might be the cost take out that we should expect going forward?
Bill Brady: Let me try, as I mentioned in my introductory section, we've estimated the savings at around $5 million –
Saul Ludwig – KeyBanc Capital Markets: Per year?
Bill Brady: For those two -- per year on an annual basis for those two changes in the way we run the business and we have not had any of that come through yet, but we expect it to come through as of the coming quarter.
Saul Ludwig – KeyBanc Capital Markets: And so, that would be $1 million or so.
Bill Brady: I would say, in that range.
Saul Ludwig – KeyBanc Capital Markets: And then, finally, the contract with Michelin. It's very good to hear that the next step has been taken. Did you receive any cash from Michelin yet in the third quarter, will you receive any in the fourth quarter and when – I mean it's going to probably be some time before they actually make tires and are selling those tires with this new technology. How does it all work with benefits to you as a result of this arrangement?
Patrick Prevost: This is a long term technology arrangement with Michelin and we're very pleased to see that this technology that we have developed over the years has found a home and we're very pleased that Michelin has been interested and will work with us in partnership because we believe that Michelin is one of the key technology players in the tire industry. So, this is a very favorable project that we're looking forward to seeing developed. As I mentioned a long term project with cash to us through various means and I won't be able to give you any further details, but let me just tell you that there's cash coming our way every year, starting this year in this project. However, I want to mention that there are still a few milestones that need to be reached for us to have the full implementation of this project and these milestones will be developed and reached during the course of the coming 12 months.
Saul Ludwig – KeyBanc Capital Markets: Did you receive any cash in the – does this fall into the rubber blacks sector?
Patrick Prevost: This is rubber blacks business, correct, yes.
Saul Ludwig – KeyBanc Capital Markets: And did you get any cash in the third quarter from this contract?
Patrick Prevost: I mentioned that we will be – that the project will be providing cash to us on an annual basis starting in 2008 and that those cash receipts will be increasing as the project develops.
Saul Ludwig – KeyBanc Capital Markets: So, to conclude, you did get some in the third quarter?
Patrick Prevost: Saul, I think, would you like to ask another question, Saul?
Saul Ludwig – KeyBanc Capital Markets: Okay. I was just trying to make sure I understood what you were saying, Patrick. Other than that, just finally, the question I think David asked at the start, you earned the $47 million excluding the LIFO and excluding the (inaudible) and that $47 million was certainly a big step-up from what the pace had been. Do you think that's all indicative of the underlying profitability that this business or the margin if we looked at that $47 million, it is about 10% margin, if you will? Is that sort of the underlying margin that this business would generate, offset or adjusted of course for whatever the lag and the LIFO happens to be.
Patrick Prevost: I would say that this is indicative of the earnings power of that business, but I am going to let Bill Brady actually answer that more specifically.
Bill Brady: Yes, so I think this is the third time this general question has come up. So, maybe I can add a little bit more color to it. I too think it is indicative of the earnings power of the business. A couple of things to think about, aside from the lag itself, the other differences in this quarter that we did not have a year ago are things like, in the margin area, we have got pricing actions in our non-contract customers, and every time a new contract comes up, we have a base price negotiation, but we have been pushing hard on pricing in the non-contract area. We have been working hard on how much carbon black we get out of a barrel feedstock, how we buy feedstock, where we buy it? I would also tell you the energy centers that we have in place today that we have invested in in the past and have in place today are more valuable than they were a year ago. The revenues from them are higher. And then we have been relentless on our fixed costs, including of course the closure of Ohio River, but we have had closures over time and just keep pounding away at the base cost with our operational excellence program. So, I think you have to add all those things together, and you get the kind of quarter we had this quarter.
Saul Ludwig – KeyBanc Capital Markets: Great. Thank you for that additional amplification, Bill. Thank you all very much.
Patrick Prevost: Thank you, Saul.
Operator: And your next question comes from the line of John Roberts with Buckingham Research. Please proceed.
John Roberts – Buckingham Research: Good afternoon.
Patrick Prevost: Good afternoon, John.
John Roberts – Buckingham Research: I was listening to a different conference call earlier today by Nova Chemicals and they had a couple of hundred million dollars in oil inventory. Again, the value has inflated like your raw material cost, and they were going to take it off the balance sheet, they are going to, say, apparently sell their inventory to an intermediary and then will buy back what they need over time. I don't know if you have had such an inflation in your raw materials as well. I don't know if you have looked into that type of an arrangement.
Patrick Prevost: That is a very interesting approach. I am not sure that we would have enough products in inventory to justify that type of an approach or financial maneuvering here, but I think it is an interesting approach that would certainly fit Nova. I am not sure that we would be able to consider that or that it would be value-added but I will take it up and think about it.
John Roberts – Buckingham Research: Secondly, should we think of the opportunity in Kazakhstan? Like the North Sea, where you eventually got a multi-well, multi-year arrangement with Statoil, or is it more likely to continue to be a one-after-another kind of arrangement?
Patrick Prevost: John, we are believing that the Kazakhstan will have multiple opportunities and the – first, it was very important to get that first well to be successful so that this provides us the beachhead for the other wells that will be developed in that area. How large that Kazakhstan opportunity will be is difficult to foresee at this stage, and for me, they are difficult to compare that to what we have in the North Sea, but we certainly are very pleased with the development. We believe that our first step was a good step, and that it will lead to more and better things to come. So we are bullish on the business.
John Roberts – Buckingham Research: And then, I apologize, but I have lost track, has inkjet completed all of the expansions that they had announced a year ago or so, or do they still have expansion activity underway that will come online over the next couple of quarters?
Patrick Prevost: I am going to ask Fred to answer that question. Fred?
Fred von Gottberg: John, you may remember, towards the end of the last fiscal year, we had started a new project to expand capacity. We actually put that on hold. I think it must have been the start of the first quarter of this fiscal year. So, at this stage, we do not have any expansion activities occurring, and neither do we have any plans in the near future to expand.
John Roberts – Buckingham Research: Thank you.
Patrick Prevost: I think, that's what is important to hear is that we are doing a lot of development work with the OEMs in the Inkjet sector and we are having strong success in the development phase. However, these products take some time to be brought to market, and we may only see the benefits of the work we are doing today coming through in two to three years.
John Roberts – Buckingham Research: Okay, thank you.
Patrick Prevost: That's an important area of us.
Operator: (Operator instructions) You have a follow up question from the line of Jeff Zekauskas with JP Morgan. Please proceed.
Jeff Zekauskas – JP Morgan: Hi, just a small odd and end, that the tax benefit that was in the quarter, was that benefit related to the prior period or to the current fiscal year?
Patrick Prevost: Jonathan?
Jonathan Mason: About two-thirds of that benefit was related to a prior period, one-third to this year. Let me amplify. When I mentioned geographic earnings mix, just to be clear, different jurisdictions that we operate in have different tax rates. So, we do the best we can on estimating where we are going to make money. But we inevitably get it a little bit wrong and this year, we are getting a benefit because we are making more money and jurisdictions would slightly lower tax rates. So, that is a this year benefit, within the year benefit and that was one-third of the discrete item. It just, I'm giving you rough numbers here.
Jeff Zekauskas – JP Morgan: So, if I remember what you said to me previously, you said it was a $0.03 benefit. So, $0.02 is from a prior period and $0.01. Did you say that anywhere in your press releases or you have only said it orally?
Patrick Prevost: Your question is the first time we have mentioned it.
Jeff Zekauskas – JP Morgan: Because shouldn't you call out in your releases prior period adjustments? Because what we try to do is figure out the operating earnings this year. I just mean this perhaps as a suggestion.
Patrick Prevost: I mean, it is not a prior period adjustment in that it did come about because we go and we negotiate audit settlements and then the release occurred during the third quarter. The tax, is it (inaudible) debate on tax in that the original tax hit, one through our operating earnings, and now the benefits are also going through our operating earnings. But we take on board what we try to be as transparent as we can to make your job easier. So, certainly take the comment on board.
Jeff Zekauskas – JP Morgan: Okay, I appreciate it. Thank you very much.
Patrick Prevost: Thank you.
Operator: Your next question comes from the line of Jay Harris with Goldsmith & Harris. Please proceed.
Jay Harris – Goldsmith & Harris: Are we to expect a continuing flow of adjustments, restructuring initiatives, et cetera, as we go forward?
Patrick Prevost: Hi, Jay, I would say that restructuring activities will be considered on a case-by-case basis and I would say that there were several this year and we will most likely have new ones coming up. But at this stage, I would not want to indicate that there will be continued restructuring activities going forward. So, that would be the way I answer this question.
Jay Harris – Goldsmith & Harris: You indicated, I think earlier that you shut down a carbon black facility in -- I want to say West Virginia or Kentucky.
Patrick Prevost: Ohio River, yes.
Jay Harris – Goldsmith & Harris: Ohio River. Were all the adjustments for that taken through the first nine months of this year or are there other adjustments yet to flow through?
Patrick Prevost: Yes, Jay, we have still got some adjustments coming through most likely till the end of the year because we have shut down the facility, but have inventory on site that we are still shipping. And after that, we will be in the mode of – and that is a fairly small amount, but after that, we will be in the mode of cleaning up the site, dismantling the equipment and we still have a few employees in place that will be there until the end of the year. So, we will still see some cost flowing through to our P&L over the period.
Jay Harris – Goldsmith & Harris: And there is the possibility of other projects next year?
Patrick Prevost: We will continue to monitor the situation. As I mentioned, the raw blacks business in the US has been slowing. The opportunities for us to sell more volumes are diminishing. Therefore, we will be looking on a continuous basis at our footprint, when and how and if we will be shutting down another carbon black plant is out in the future. But as I mentioned, we will be continuing to look at it.
Jay Harris – Goldsmith & Harris: During the quarter, did you handle your carbon black raw material purchases differently than you had in prior quarters?
Patrick Prevost: No.
Jay Harris – Goldsmith & Harris: All right, thank you.
Patrick Prevost: Thank you.
Operator: Ladies and gentlemen, this concludes our Q&A session. At this time, I would like to turn the call over for closing remarks.
Susannah Robinson : Thanks, Eric. We would like to thank everyone for joining us this afternoon.
Operator: Thank you for your participation in the conference, you may now disconnect, and have a good day.